Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to Six Flags Entertainment Corporation Third Quarter 2024 Conference Call. [Operator Instructions]. Thank you. I would now like to turn the conference over to the Six Flags management team. Please go ahead.
Michael Russell: Thank you, Krista, and good morning, everyone. My name is Michael Russell, Corporate Director of Investor Relations for Six Flags. Welcome to today's call to review our 2024 third quarter financial results for Six Flags Entertainment Corporation. Earlier this morning, we distributed via wire service our earnings press release, a copy of which is also available under the News tab of our Investor Relations website at investors.sixflags.com. We have also posted a short slide presentation that you can access either on the webcast page for today's call or on our IR website presentation page. You'll find the slides provide additional information about Six Flags strategic road map and long-term metrics for measuring our progress, which we will cover on today's call. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC. In compliance with the SEC's Regulation FD, this webcast is being made available to the media and general public as well as analysts and investors, because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed. On the call with me this morning are Six Flags Chief Executive Officer, Richard Zimmerman; and Chief Financial Officer, Brian Witherow. With that, I'll turn the call over to Brian.
Brian Witherow: Thank you, Michael. Good morning, and thanks to everyone for joining us today. I want to welcome you to our first earnings call that will cover the post-merger consolidated financial results for the new Six Flags Entertainment Corporation. I'll start my remarks by recapping results for the third quarter ended September 29, 2024, before providing some color around our performance over the last 5 weeks, including the impressive demand for our incredibly popular Halloween events. I'll wrap up with an update on long lead indicators, including the status of season pass sales to date before passing it over to Richard. On a consolidated basis, operating days in the third quarter of 2024 totaled 2,585 days compared with 1,091 operating days for the third quarter last year. Of the 1,494 incremental operating days, 1,591 days relate to operations during the third quarter at the legacy Six Flags Parks. Meanwhile, legacy Cedar Fair parks had 97 fewer operating days compared to the third quarter last year with 71 of those fewer operating days due to a fiscal calendar shift. The balance of the remaining decrease in operating days at the legacy Cedar Fair parks was the result of planned changes to park operating calendars as well as the impact of extreme weather and related operating disruptions. For the third quarter, we generated net revenues of $1.35 billion on attendance of 21 million visits. These third quarter results included $558 million of net revenues and 9.2 million in attendance from legacy Six Flags operations. Third quarter revenues from legacy Cedar Fair decreased by $52 million compared to the third quarter last year primarily due to 660,000 fewer visits during the current period, 460,000 of which were due to the fiscal calendar shift. The remaining 200,000 visit decrease in legacy Cedar Fair attendance was the result of the extreme weather and related operating disruptions during the period. As we noted on our last earnings call, extreme weather caused challenges in the beginning of the third quarter with Hurricane Beryl disrupting demand across multiple parks in early July. Later in the quarter, Hurricane Debby disrupted early August operations and then operations during the last week of September were again disrupted by Hurricane Helene. Excluding the 3 weeks that were directly impacted by the extreme weather events, attendance across the combined portfolio during the balance of the third quarter was up slightly over the same 3-month period last year, supporting our belief that our consumer remains healthy and demand for our products remain strong. Looking at third quarter guest spending trends for a moment, out-of-park revenues for the quarter totaled $102 million, which included $21 million in revenues from legacy Six Flags operations. Out-of-park revenues from legacy Cedar Fair operations decreased by $5 million, the direct result of the fiscal calendar shift. Meanwhile, in-park for capital spending in the period was $61.27, representing a decrease of 2% compared to the in-park per cap reported by legacy Cedar Fair in the third quarter last year. Approximately half of the decline related to the impact of the merger with the other half attributable to a planned decrease in average season pass pricing and the higher mix of season pass visitation at the legacy Cedar Fair parks. The per capita headwinds of the legacy Cedar Fair parks were partially offset by improved guest spending on food and beverage, which was up 2% in the quarter, and higher spending on extra charge products, including Vaseline, which was up 4% in the quarter. These positive trends underscore our guests' willingness to spend during their visits and are a tribute to our park teams who provide compelling products and high-quality guest service. Moving on to the cost front. Operating costs and expenses in the third quarter totaled $894 million, which included $368 million of operating costs and expenses from legacy Six Flags operations. The third quarter costs were made up of $575 million of operating expenses, $209 million of SG&A expense and $110 million of cost of goods sold. Third quarter operating expenses included $245 million related to operations at Legacy Six Flags and an $18 million adjustment to self-insurance reserves at legacy Cedar Fair. These items were partially offset by a $10 million decrease in operating expenses at the legacy Cedar Fair parks related to the calendar shift. Excluding these factors, third quarter operating expenses at legacy Cedar Fair decreased by $11 million, the results of our plans this year to reduce stand-alone operating expenses as part of the first phase of our merger-related cost synergies. Meanwhile, third quarter SG&A expenses included $81 million from legacy Six Flags operations and $55 million of merger and integration-related costs. Excluding these items, SG&A expense at legacy Cedar Fair was up $9 million, primarily due to higher full-time wages, including bonus expense. The $110 million of cost of goods sold in the quarter included $42 million related to legacy Six Flags operations during the period. As a percentage of food, merchandise and games revenue cost of goods sold in the quarter increased 30 basis points, 10 basis points of the increase related to the operations of the legacy Six Flags parks, with the remainder driven by an increase in food and beverage cost at the legacy Cedar Fair parks. As we previously noted, we remain laser-focused on driving operating efficiencies and improving margins. We are moving ahead with a sense of urgency to fully realize the $120 million of merger-related cost synergies on a run rate basis by the end of 2025. We -- the cost-saving efforts we've initiated to date at both legacy Cedar Fair and Legacy Six Flags put us on pace to achieve our target of realizing $50 million in run rate cost synergies by the end of 2024. Turning now to adjusted EBITDA, which management believes is a meaningful measure of park level operating results, adjusted EBITDA for the third quarter totaled $558 million, including $206 million of adjusted EBITDA from Legacy Six Flags operations. This was partially offset by a $21 million decrease resulting from the fiscal calendar shift at legacy Cedar Fair and a $15 million decrease due to the impact of the extreme weather on attendance and revenues during the quarter at the legacy Cedar Fair parks. Consistent with our commitment and long-term practice of providing transparency around operating results, let's turn our attention to results since the end of the third quarter, results that reflect the outstanding performance of our increasingly popular Halloween events which continue to deliver some of the biggest attendance days of the year. Over the past 5 weeks, we entertained 6.5 million guests across the combined portfolio, an increase of 20% or more than 1 million visits compared to the combined portfolio over the same 5-week period last year. The strong momentum in demand across both legacy Cedar Fair and legacy Six Flags parks also translated into a meaningful increase in the sales of season passes and memberships. Over the 5-week period, sales of 2025 season pass units were up 8%, and -- with the average pass price up 3%. This brings the early sales of season pass units across the combined portfolio up 2% over the same time last year. Based on the solid season pass base and the strong performance of October, which historically represents approximately 60% all of fourth quarter attendance, we believe we are on pace to achieve fourth quarter adjusted EBITDA of $205 million to $215 million, with actual results dependent on operating conditions and macro factors such as weather over the final 2 months of the year. Now turning to the company's balance sheet for a moment. Our balance sheet remains in solid condition. At the end of the third quarter, we had $90 million of cash and cash equivalents on hand and approximately $4.8 billion of gross debt. Of our debt outstanding, approximately 80% is fixed through long-term notes and outside of $200 million in senior notes, which mature in July of next year, we have no significant maturities before 2027. We -- Liquidity as of September 29, 2024, totaled $743 million, including cash on hand and available capacity under our revolving credit facility, providing us with ample financial flexibility going forward. Deferred revenues on September 29, 2024, totaled $359 million compared with $208 million of deferred revenues on September 24, 2023. The $151 million increase includes $144 million of deferred revenues at the legacy Cedar Fair -- Six Flags park, with the remaining increase reflecting the strong sales of advanced purchase products at the legacy Cedar Fair parks. Through the end of the third quarter of 2024, deferred revenues at legacy Cedar Fair were up $7 million or 3%. And -- for modeling purposes, during the quarter, we spent $110 million on capital expenditures. And for the fourth quarter, we expect CapEx will be in the $100 million to $110 million. Looking ahead, we expect to invest between $500 million and $525 million in capital expenditures in both 2025 and 2026. These investments represent a level of CapEx spend necessary to accelerate the integration process and begin to activate the growth potential of the combined portfolio. The investments will be primarily focused on project aimed at increasing demand and driving higher levels of guest spending, but will also include addressing any deferred infrastructure needs across the portfolio. While we are still finalizing capital programs beyond 2026, we are targeting annual CapEx spend to be in the range of approximately 12% to 13% of net revenues over the long term. Lastly, from a cash flow perspective, in 2025, we are projecting annualized cash interest payments of $305 million to $315 million and annualized cash taxes of $130 million to $140 million. With that, I'd like to turn the call over to Richard.
Richard Zimmerman: Thanks, Brian, and thanks again to everyone for joining us today. Today, I'll briefly reflect on our third quarter performance, share updates on our progress towards driving long-term value creation and discuss the key strategic initiatives that will position the new Six Flags for sustained profitable growth. I will also discuss our expectations for next season at a high level and our targets for assessing progress over the long-term. First, let me say that I'm excited to share with you the early progress we've made since the completion of our transformational merger on July 1. I couldn't be prouder of how our team has worked together with a sense of urgency to capture early wins while establishing a strong and stable foundation for delivering on the combined company's long-term potential. We have made significant progress on our integration process while ensuring all 42 parks maximize performance during the most important months of the year. And despite headwinds from the impact of 3 hurricanes, we delivered solid results. As Brian mentioned, excluding the 3 weeks most directly impacted by the hurricanes, third quarter attendance across the portfolio was up slightly over the same 3-month period last year and that momentum carried into October when demand for our Halloween events pushed year-over-year attendance up 20% over the past 5 weeks. In addition to the outstanding recent attendance trends, I am particularly pleased with the robust early demand we've seen for season passes, which is one of our best long lead indicators heading to next season. In addition to delivering a strong second half of the year, we've been focused on continuing to improve the guest experience at all our parks and build demand momentum that we can carry into 2025. As we shared with you on our last earnings call, one of the hallmarks of our long-term success is delivering unmatched entertainment and exceptional guest service. Based on decades of experience, we know guest satisfaction is vital to the sustainable long-term growth of the business. With that in mind, our team moved quickly to make recognizable improvements at the legacy Six Flags parks that have already proven to resonate with guests and have helped produce our highest guest satisfaction scores in the last 4 years. The early returns from our actions are clear, investing in the guest experience drives higher attendance and establishes a strong foundation for future growth. Our early progress reinforces our confidence that we are well positioned to continue to drive meaningful attendance growth heading into the 2025 season. I'm also happy to report that the integration process is progressing smoothly. Through Project Accelerate, our internal initiative to unlock the full potential of the new Six Flags, we're seeing the early positive results we anticipated. Swift action on our core objectives has put us in a position to deliver on the revenue upside and the cost synergies we know are available from the merger. As Brian noted earlier, we are on track to achieve $50 million of cost synergies by the end of this year, and we remain confident in our ability to deliver the full projected $120 million of cost synergies on a run rate basis by the end of 2025. With our work on capturing cost synergies well underway, we have turned our focus to pursuing what we consider to be the greatest opportunity to the merger, driving significant attendance growth in the combined new portfolio. In a demand-driven business, strength in attendance acts as the catalyst for improvements across all key performance indicators, including longer length of stay, greater pricing power, higher levels of guest spending and ultimately, improved margins and higher free cash flow. Therefore, growing attendance is our highest priority, ensuring that parks stay comfortably crowded while still providing a quality experience to keep guests coming back year after year. Looking at the legacy Six Flags parks, the opportunities around attendance growth are compelling. Increase in attendance back to 2019 levels would represent a 48% increase over the 22 million guests the parks entertained in 2023, the -- a goal that we believe is both achievable and appropriate, particularly when noting the relevant market penetration rates of the legacy Six Flags parks where roughly half those of the legacy Cedar Fair parks in 2023. We -- with this upside potential as well as the strong momentum in season pass sales we have coming out of October, we believe we are well positioned to deliver attendance growth across the combined portfolio in 2025 that is ahead of our historical attendance growth rate of 1% to 2%. Our ability to successfully grow attendance and improved guest spending levels next year will be driven in large part by our compelling capital program. As we discussed last quarter, one of our guiding principles is strategically investing capital to drive growth. Consistent reinvestment in our parks and underlying infrastructure is essential for creating long-term value. We are executing a disciplined approach to capital allocation that balances our investment in marketable new attractions and expanded in-park offerings with infrastructure improvements that often go unnoted but are extremely important to keeping our parks running efficiently. This ensures we maintain the integrity of our parks while broadening and enhancing the guest experience. As Brian mentioned, over the next 2 years we plan to invest $500 million to $525 million annually in capital expenditures across the portfolio. This will include investing approximately $325 million to $350 million each year on marketable new attractions and revenue centers and investing another $175 million each year on infrastructure improvements. Our marketable capital projects will be focused on the parks that generate the highest levels of potential cash flow, ensuring that our investments will drive the greatest possible returns. Before I conclude with a review of our long-term targets, I want to clarify a few points to ensure our investors understand our strategic approach moving forward. First, increase in attendance does not require and will not involve aggressive discounting. Based on our strategic approach to the business, we do not rely on price cuts to drive attendance. Our playbook focuses on delivering a high-quality experience that guests value and are willing to pay for than dynamically pricing tickets based on demand, much like they approach hotels and airlines state. Our business intelligence team's pricing strategy is time-tested and successful at setting consistent market expectations, building long-term trust with consumers and sustainably growing attendance and per cap -- per capita spending together. We have taken the successful dynamic pricing tools and practices we've spent more than a decade building and expanded them across the combined portfolio. We fully expect these tools and our team's efforts to be equally effective moving forward just as they have been in the past. Second, we remain confident in the capital investments we have planned for the upcoming seasons and how those capital programs fit within our capital allocation priorities. As we previously noted, the legacy Six Flags parks are foundationally strong with solid infrastructure, which we believe can be enhanced without the need for outsized capital investments. Because of this, the majority of the investments we plan to make in the parks will be responsibly deployed towards high-return opportunities that are aimed at enhancing the guest experience and driving growth. Third, the cost synergies we outlined upon announcing the merger can be fully realized and retained. As we've already noted, we have a line of sight to deliver the entire $120 million of cost synergies on a run rate basis by the end of 2025, with $50 million expected to be achieved by the end of this year. Much of the remaining cost synergies come from eliminating redundant overhead costs, optimizing shared services and rationalizing and leveraging our supplier base. As Brian noted, while we are prepared to reinvest operating costs back into our parks to help drive growth, we intend to find additional cost savings to offset such initiatives. Finally, we are laser-focused on managing near-term debt levels and reducing net leverage through growth in free cash flow. And we are moving with a sense of urgency to put the necessary initiatives in motion to help us achieve our goals. In addition to driving organic growth in the business, we have also activated a comprehensive review of our portfolio, including excess and undeveloped land. This is an exercise that we have undertaken in the past and one that is focused on optimizing our asset base, narrowing our focus and helping us accelerate our planned reduction in leverage. While we take the steps necessary to optimize near-term results, we are working tirelessly to unlock the full potential of the merger. Looking ahead, we've set ambitious but achievable targets that will help us measure our progress as we advance our strategic objectives. Ultimately, we are targeting annual unlevered pretax free cash flow of $800 million or more by 2027, which would imply an average growth rate of more than 10% over the next 3 years. This sustained level of growth can be achieved by increasing annual attendance to more than 55 million guests and expanding modified EBITDA margins to 35% or better. This level of free cash flow growth would, in turn, facilitate our ability to reduce net total leverage back inside 3.5x adjusted EBITDA by the end of 2027. We are planning to host an Analyst Day towards the end of the first quarter next year, at which time we will provide more specifics around the core strategies of our new long-term plan as well as more color around our outlook for growth in the business. Further details on our Analyst Day will be forthcoming. Before we open up the call for questions, I want to emphasize my confidence in the tremendous potential for long-term value creation at the new Six Flags. Our resilient business model, strong foundation and clear road map for success will drive sustained growth and profitability for the foreseeable future. By focusing on guest satisfaction, making disciplined capital investments and emphasizing operating cost efficiencies, we are positioning Six Flags to thrive for the long term in any market environment. I'm extremely excited about our future. We have the right strategy, the right team, and the right assets to deliver exceptional experiences for our guests and strong returns for our shareholders. Thank you for your continued support, and I look forward to keeping you updated on our progress in the quarters ahead. That concludes our prepared remarks. Krista, please open the line for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Steve Wieczynski with Stifel.
Steve Wieczynski: I hope you're all doing well. So Richard or Brian, if we think about the 55 million attendance it's called a target by 2027. Is there any way to help us think about how the cadence might look getting from the current run rate level out to '27? I'm assuming it's not going to be a straight line over the next 3 years given the heavy investments that are going to need to be made in certain legacy Six Flags parks in '25 and '26. But just wondering what kind of color you could give there beyond what Richard mentioned in his prepared remarks, about '25%. I think you said, Richard, being up above that 1% to 2% kind of historical growth range.
Brian Witherow: Yes, Steve, it's Brian. So yes, I'd start by emphasizing what Richard said in the prepared remarks, when we look at '25 and there's certainly some steps we're taking across the portfolio to position ourselves for longer-term growth, but we definitely believe there's upside in attendance next year beyond what historical growth rates for this industry for legacy Cedar or legacy Six would have shown that low single-digit growth rate. I think your point is a good one. The growth isn't often linear, that would be easy if it was. But it does tend to ramp up. And there is an inflection point, right, at some point. And as we look out we're really excited about what we have put in motion for '25, but I think we're even more excited about the capital program and the set of initiatives for '26 and what we're working on beyond '26. As we said on the call, still some of those discussions in process. But I think there is that point where whether you call it the hockey stick or the Nike Swoosh inflection point, growth will ramp, '25 has got growth. But I think looking beyond it is where you start to see that inflection point kick in.
Richard Zimmerman: Yes, Steve, it's Richard. Let me jump in here. As I've said often, there's 2 things that really drive demand in our business and the improvements to underpin our resiliency. First, it's guest satisfaction. We're tracking along at 4 years high on both sides of the portfolio. So we're really pleased with that. And second, as Brian talked about, a really compelling capital program. Look, I think '25 is really strong. I'm really excited about the '26 program, which I think may be the best capital lineup I've seen in my almost 4 decades. So I think we've got an ability to drive it, how the markets react and the particulars of any particular set of macro conditions like weather always have an influence. But I think we're taking the necessary steps to drive that demand.
Steve Wieczynski: That's great color, guys. And then second question, if we think about the $800 million of unlevered free cash flow at to 2027, if we do some math here and kind of back into some things, we're kind of getting you guys somewhere around, let's call it, about $1.28 billion to $1.3 billion of adjusted EBITDA. And if that math is right or directionally right, just wondering if you could help us think about maybe how you're -- how you guys are thinking about the per caps, how those could kind of trend in the out year -- in the out years? And then does that target include any of your original revenue synergies? We heard about the expense synergies but didn't get any color around that, the original $80 million of revenue synergies.
Brian Witherow: Yes, Steve, it's Brian. On the revenue synergies, what was never really encompassed in that number, that $80 million number, was, as we said on the call, we think the real upside and full potential or realizing the full potential of this merger is, and that is the big opportunity to drive attendance growth, right? Over the next several years, much of the growth -- the revenue growth that's going to come from the merger should be a step function in growth in attendance, which is often at odds with per caps, but it's critical to the long-term success of the business, right? So we remain confident in our ability to continue to grow per cap. But there's no doubt that the primary near-term focus is on driving revenue growth through attendance.
Operator: Your next question comes from the line of James Hardiman with Citi.
James Hardiman: Obviously, if you look at sort of the performance of your stock since the merger closed, it seems like there's been somewhat of a shifting narrative. And in talking to investors, I think that narrative seems to be that you guys were surprised by, A, the lack of investments that had been being made at the Six Flags parks. And then B, that the level of investment that would be required to sort of begin that turnaround was much greater than you originally anticipated. So maybe speak to those notions, what was surprising? What's been sort of part of your expectations set all along? And then maybe specifically, if you can speak to 2025, I mean, you've sort of laid out how to think about the cost synergies next year. You also made the point that ultimately, all that's going to fall through to the bottom line. I don't know if that's going to be the case next year. Are there incremental sort of OpEx investments that need to be made short term that we won't see offset next year, but maybe how to think about OpEx specifically, but sort of the margin profile in 2025?
Richard Zimmerman: Yes, James, thanks for the question. It's Richard. When I think about the state of the business, we keep talking about how resilient our business model is. And whether that's a legacy Six or legacy Cedar, there's a tremendous amount of appeal for our product. As you saw, 20% up in attendance in the month of October speaks both to the -- both to the appeal of Halloween, but also how we tap into that appeal on a scale that few can match in each of our particular regions. So as I think about the questions we've gotten since the merger was consummated, a lot of them actually revolve less around the investments, some of it was around the investment, but a lot of it was around the health of the consumer. And what we have said from the beginning is that on days where weather is good, we were encouraged by the demand we were seeing. And that was particularly true in October where the weather was outstanding. But also in the third quarter where we said we were up slightly, if you took out 3 weeks impacted greatly by hurricanes. Now weather is part of our business, we're an outdoor business. But we've got an incredibly resilient business model because of the demand that we can generate. The assets we have, that we put together, the strength of this combined company, we have what we need to be able to drive demand and continuously improve all of our parks. There's things we want to work out on the legacy Cedar side. There's things we want to work on, on the legacy Six side. But you'll hear us continue to speak to the broader strategic themes of as I said in my prepared remarks, reinvesting capital that generates a return and that very specifically taps into consumers that are willing to spend. Our results prove that even though it's a bifurcated economy, the appeal of our product is there, our consumers are healthy. And when they come, they are spending, and they're coming in numbers that are high percentages based off of last year. So I think the state of where we are as the combined portfolio, we have incredibly resilient, irreplaceable assets that allow us to continue to drive demand. Brian, on the margin front?
Brian Witherow: Yes, James. On the margin front, as we said in our prepared remarks, margin remains a key focus for us, has been going back to 2023 on the legacy Cedar side of things. And as we've talked about, it's both being more efficient on the on the cost side, but it's also about driving attendance. So as we look to '25, certainly, leveraging our fixed cost base with higher attendance levels is critical. But it's also important that we remain focused on activating additional cost efficiencies to offset any pressure that may come from our decisions to layer in incremental costs at the parks, whether that be related to expanding the operating calendars or efforts to improve the guest experience. As an example, I would tell you, on the seasonal labor front, as we've gotten into operations over the second half of the year, we're finding both on the legacy Cedar and legacy Six side that it isn't always about adding hours but using the hours more efficiently. So I think as we're taking our workforce management tools and applying them across a broader portfolio, the ability to take the same hours and use them more efficiently are going to be critical to driving that higher margin as we roll into 2025.
James Hardiman: Got it. That's helpful. And then I wanted to follow up maybe a little bit on Steve's question. We've got this $800 million pretax unlevered free cash flow number. Maybe help us with the walk in both directions. I guess in one direction to get us to EBITDA, I guess the missing piece would be CapEx, right? And so I think where people are landing is somewhere $1.25 billion to $1.3 billion in adjusted EBITDA. And then in the other direction, it seems like the missing pieces would be taxes and interest to get us to a fully levered after-tax free cash flow number. Any help with that. I think maybe using some of the pieces that you've given us something in the $350 million to $400 million seems like where we would land that plane in terms of the all-in free cash flow number? Any help there would be things -- would be helpful.
Brian Witherow: Yes. Let me, I guess, start at a high level and just say we're not going to provide EBITDA guidance. And so -- but as you try and do the walk back, we've given the -- where we believe the cash interest and the cash tax numbers are for 2025, certainly, we're not going to be satisfied with those levels and there are steps we're going to take to try and drive both of those things down over time. So looking out more long term to '26, '27, as we advance those efforts on our side of the table, we'll provide some more visibility into that, I think, over time. As you think about CapEx, as we said, $500 million to $525 million for the next couple of years. We said all along that we were going to try and activate the integration process and the opportunity to drive growth as fast as we could and then settle back into what we think is the longer-term CapEx trajectory, which is, as we said on the call, 12% to 13% of net revenues. So, depending on how you model it, you'll come up with your CapEx number. But what I would just underscore is $800 million or more of unlevered pretax cash -- free cash flow is what we're targeting in 2027. We're not going to be satisfied just stopping at $800 million, but there's a lot of work to be done between now and then.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka: I was hoping maybe you could talk a little bit about, I think one of the opportunities you mentioned in the past but haven't talked about quite as much recently, retail and arcade within the legacy Six Flags portfolio. Can you maybe put some borders around that in terms of the size of the opportunity and how you realize it?
Richard Zimmerman: Yes, Chris, I think I'd step back to a higher level. We think the -- as I said earlier, we think there's a lot of opportunity once we get the guests drive that demand and get them inside the gates. That opportunity, as you know, we have focused heavily on food and beverage, and we think there's a lot of runway there. We increasingly see the appeal as our -- keep our parks comfortably crowded as the -- of the premium experiences that we offer and continue to try and come up with new premium experiences that our guests value and tell us our value that they want us to roll out. In terms of in-park games and merchandise, we think there's equal opportunity. What we've seen is where we go in and reinvest and rehab and renovate and upgrade the facilities, we've seen nice return on facility by facility basis. So we're working through those plans right now. Again, we just closed the merger 4 months ago. But we do think there's incredible opportunity for merchandise and what we call games to play a role in the experience and also generate some nice revenue lifts over time, but it will take some capital investment for us to get there, but we've factored all that in. When we talk about investing in revenue centers, that's all of the things once you get inside the park.
Chris Woronka: Okay. Got you. And then the second question is kind of related to your -- the comment about asset sales being possibly part of your long-range value creation plan. I know you won't give in the specifics, but can you maybe give us, again, some pointers on kind of what's going to inform those decisions? And maybe a thought as to how -- is that something that can happen in the next 12 to 18 months? Or is it kind of more of a notional aspirational goal if the opportunity is right?
Richard Zimmerman: Thanks, Chris. As I think about this portfolio optimization, we've done this in the past on the Cedar side, certainly sold 2 small water parks in 2012, 2013. And -- we underwent comprehensive review several years later that led to the sale of the land underneath our Santa Clara Park. I would say I wouldn't put a time frame around it as much as I think we're working closely with the Board, and we're looking internally at our capital structure, our capital allocation priorities. And what we're trying to do, and I'll go back to what I said in the August call, every park in our portfolio has a role if it plays its role right. These are irreplaceable assets, but we also want to make sure that we're investing to drive growth across the combined portfolio. So I wouldn't put a time frame on it, but we're going to be very diligent and work methodically through what we think is possible and what would make sense as we think about our capital structure and capital allocation priorities.
Operator: Your next question comes from the line of Michael Swartz with Truist Securities.
Michael Swartz: Maybe just wanted to dig into the fourth quarter guidance, which you guys have not given quarterly guidance as I can remember in the past. So maybe you -- just maybe your rationale for doing so, but then maybe give us some of the moving pieces, if you can, as it pertains to attendance or per cap assumptions in that EBITDA guidance range.
Brian Witherow: Yes, Mike, it's Brian. You're right. I mean, typically, one we've not -- it's been a long time since we gave short-term annual guidance, let alone quarterly guidance. But I think kind of the heels of the merger just closing 4 months ago, there's a lot of noise in as you've seen in the earnings statement this morning, and you'll see in the 10-Q later, just based on the reporting requirements, it's sort of difficult to glean current quarter versus prior year because it's a combined NewCo Six Flags versus legacy Cedar. So just trying to provide a little bit of clarity and give the Street a little bit more visibility as to how we see the quarter developing given how strong October was, right? I mean a 20% lift in attendance is, quite frankly, very impressive and something we're really proud of. That said, we want to make sure that we don't get out over our skis on what that might mean for the balance of the quarter. October is about 60% of the attendance and so as you look at rolling that forward for the balance of the year, what happens in November and December from a macro factor perspective, again, we're in the outdoor entertainment business, weather is always an issue, it's a much more truncated portfolio that's in operation over the balance of the year. And so from a full quarter perspective, we're going to have less operating days in the fourth quarter than we did last year on a combined basis. A lot of that is because of some calendar shift again with Cedar -- on the Cedar Fair side of things. We've added some days back on the legacy Six side of things. But net-net, we're confident that we're tracking towards that $205 million to $215 million range we gave, which I think is a nice way to finish off the year and build -- continue to build momentum as we roll into 2025.
Michael Swartz: Okay. Great. And maybe help us with the $50 million in run rate savings did you generate any cost savings in the third quarter? I think you had mentioned something as it pertained to the legacy fund business in the quarter. But maybe you could give us a sense of how much of that's already been enacted maybe how much we can see in the fourth quarter, just the business is so seasonal. This isn't going to be linear. I know that, but any guidelines or parameters you can provide that would be great.
Brian Witherow: Yes. We noted in the call that when you strip out the noise of the extra week and some accounting noise around self-insurance reserves, again, looking just really at the core operating costs for the operating expenses for legacy Cedar were down approximately $11 million in the quarter. And again, that's been driven by the initiatives that we put in place. We talked about at the beginning of the year. Those stand-alone operating costs savings, the first phase of the synergies on both the legacy Cedar and legacy Six side that we were looking to activate here in 2024. Certainly, more of those stand-alone, we felt the opportunity was greater on the legacy Cedar side. And so that's where more of those savings have been generated. As we go into the fourth quarter, you're right, Mike, it's not linear because as I just mentioned, you got a lot less operations and a lot less opportunity to take out variable costs as we roll into November, December, then you certainly would have had back in the third quarter with July, August, September being a bigger month for cost. But it's also on the corporate side, right? We started to put into effect here in the last several weeks, over the last month or 2, activating some of the other cost synergies, the duplicative overhead costs, leveraging some of the advantages of scale. We won't have a full year pocket of what those cost savings will mean to us by the end of the year, but we'll have on a run rate basis, got them moving. And that's everything from third-party professional services and other such things that we've been operating with a sense of urgency to get those synergies mind as quickly as we can.
Operator: Your next question comes from the line of Matthew Boss with JPMorgan.
Matthew Boss: So maybe on the top line, could you elaborate just maybe a little bit more on the cadence of attendance trends in the third quarter relative to the drivers of the October magnitude? And just how much you see this tied to macro or weather relative to early execution wins?
Richard Zimmerman: Yes, Matt, it's Richard. I'll jump in here and then Brian can fill in. I think we'll kind of walked you through when we looked at the third quarter, a lot of noise we just did the merger putting the park chains together. When you stripped out the noise around the 3 weeks that were impacted by hurricanes, Beryl in July, Debby in August and then Helene min late September, we were up slightly in attendance. So we were seeing reaction as we went through and implemented some operational changes like the chaperone policy. We started to see the markets react as we thought we would. When you got to October, listen, last year, there was a little bit of weather on the East Coast. So we benefited from better weather on the East Coast -- but we also -- when we look at the 2 halves of the portfolio, the legacy Cedar side was up against a record. And to be up what we were up in October, says that both the strength of the -- of our business model, the resilience that I've spoken to, but also the appeal of the product and the value our consumers see it. So we're posting double-digit -- high double-digit increases on what was a record year in part of our portfolio. So every year, we look at October, and we go, how’s Halloween going to get bigger. And every year, it does get bigger, in part because the second half of the year, we've always said this, 70% to 80% of our revenues and EBITDA get generated in the back half of the year. Part of it is the weather, quite frankly, has gotten better and very conducive. Part is the appeal of something like Halloween. And the last part is, as we keep growing season passes and building a higher season bat base year-after-year, whether that's at the stand-alone companies or the combined companies, we continue to have more passes that can be used in the back half of the year as we start selling the next year season passes. That higher level of our biggest program really underscores the attendance foundation for the back half of the year. Brian, anything you want to add?
Brian Witherow: Yes. Just -- I would just underscore your point, Richard, on the impact of weather. Listen, we're in the outdoor entertainment business, as I said earlier. So it's not a question of if whether is going to have an impact, but rather when and where. And we're not going to use weather as an excuse. But I do think it's helpful and we do this, we believe it's helpful, and we do this exercise as we're going through and evaluating our results. If we carve out, as Richard said, those weeks. And there's no doubt that July with Beryl in September with Helene were more impacted in the quarter than August. Debby was modestly impactful in the Southeast. And when I look at -- as you're trying to -- as we're trying to assess the health of the consumer, where demand sits if I just take out the week or the 1 week in August that Debby did hit, attendance in August was up 4%, sans that 1 week. So again, it continues to underscore as I think Richard just said, there's -- the consumer -- our consumer is still healthy and willing to spend on experiences. And certainly, when weather conditions provide it, they're showing up.
Matthew Boss: Great. And then maybe a follow-up, Brian, just on the bottom line. How best to think about maybe linearity of the 35% EBITDA margin target by 2027? And relative to low 30s today, just incorporating the, I think you said the Nike Swoosh top line progression commentary?
Brian Witherow: Yes. So I think, Matt, when it comes to margin or any one of those key performance indicators, you're right, it isn't linear. So much of margin is driven by the attendance number. So I think it depends on how you model out the opportunity to drive attendance, right? As we get more efficient, and listen, we're not done, there's more work to be completed and more initiatives to be executed against, but we've made good strides on the operating efficiency side of things. And as we get more and more efficient, that allows more of that attendance and revenue lift to follow the bottom line faster. So that remains a focus for us. But I think it really depends on how you model out the attendance lift because that's such a big driver for margin in this business.
Operator: Your next question comes from the line of Ben Chaiken with Mizuho.
Ben Chaiken: Can we -- just going back to the October acceleration, is there anything we need to be aware about concerning comparability. So not taking away from the 20% year-over-year. But just as we think about the progression from 3Q to October, so 3Q adjusted for weather per operating day on our numbers was up around 6%, and -- year-over-year, which is obviously very healthy, but then October is up 20%. Were the operating base comparable in those periods? And then what's the latest thought for operating days in the full year? Is it still down around 112 days year-over-year for the full year?
Brian Witherow: Ben, it's Brian. So on your 112, you're looking just at the legacy Cedar side, correct?
Ben Chaiken: That's correct. Yes. Yes.
Brian Witherow: Yes. Again, weather dependent over these last couple of months and what they might mean for the parks left with operations. So we're still in the hunt for that general trend line for operating days on the legacy Cedar side of things. In terms of the comparability, that number -- that 20% lift north of 1 million visits is on an apples-to-apples basis as best as we can do. So that's comparing equivalent 5 weeks versus the equivalent 5 weeks the year before on a combined basis. So I'd say, again, what we saw in October, as Richard said, was continued momentum of what we saw on non-weather disrupted days in the third quarter but just juiced by the fact that you were at the time of the year that is the probably the most popular time of the year for our guests with the events, whether it's Fright Fest at the legacy Six parks or Haunt or Halloween event at the legacy Cedar parks.
Ben Chaiken: Got it. And not to -- sorry, go ahead.
Richard Zimmerman: Yes, Ben, let me jump in here. I just want to say when we look at the plans coming into the year, we both -- you put this company together midyear. I will say legacy -- Selim and his team really made a huge investment in Fright Fest putting in IP in terms of the mazes, really focusing on how to drive the October. So on both sides, what we saw in October was reasonably similar on both sides, just outstanding demand, but I think that comes from the planning that all of our ops teams do to get ready for handling bigger crowds. And what I'm most pleased with, and we say this all the time, it's counter to, we do our highest per caps on our biggest attendance days because of the scalability built into our model.
Ben Chaiken: Got it. And just to clarify very quickly, I understand that it's a comparable trailing 5 weeks, but just -- I know the operating days are moving around a lot. So you think the operating days in October this year are comparable to the prior year, just to be clear.
Brian Witherow: Sans some weather impact, I would say, generally, yes. I mean, we're looking to add days back, Ben, when it comes to the highest demand times of the year. So over the last couple of years, we have added days into October, and that's going to be an area that we continue to look closely at. As Richard likes to say, you fish where the fish are. And our guests have told us October, September -- late September, October with the Halloween events is when they want to come when it's probably the level of urgency is the greatest. And so we'll continue to look to add days. But on a general -- at the highest level, the operating days are generally comparable.
Ben Chaiken: Very helpful. And then switching to legacy Six, EBITDA down 6% year-over-year. On our numbers, that's pretty comparable to the underlying run rate in 2Q. I assume that in your original underwriting, you had somewhat higher expectations, I would think. Can we talk about some of the levers to drive Six EBITDA higher? I know you guys mentioned getting back to 2019 levels of attendance. How do we do that? Is that cutting price, investing in the park, investing in incremental operating days and then related? When you think about reaching those 2019 levels of attendance for Six, does that drive higher, lower or comparable levels of EBITDA that were generated in 2019 for that legacy operation? And then I guess why?
Richard Zimmerman: Ben, thanks for the question. Let me jump in here. And I think I'll go back to my prepared remarks. We don't think we have to aggressively discount to be able to drive demand and drive attendance at legacy Six or at legacy Cedar. So that's not our philosophy. We want to build demand. We saw that demand start to build now. So we don't -- as we think about it, we don't think that we need to stray from what has been a time-tested formula. It does take time, and we said that from the beginning. There's messaging that you got to do with the market. You got your people understand how you're formatting your season pass program. I will tell you, we're particularly pleased with the impact of the additional advertising and media that we put in place in the third quarter, weighed a little bit on results, but in the third quarter, but clearly helped the fourth quarter. And when we think about driving that demand forward, I don't want to step over an 8% increase over the last 5 weeks in season pass sales on a 3% higher price. So I think we're willing to step into our making the changes to put on the total portfolio, our approach and make sure we're fine-tuning all those levers. We think we have all the levers but we really manage this on a season-by-season basis, less a quarter-by-quarter basis. And I'll go back to my earlier comments. You want to drive demand, focus on guest satisfaction and putting compelling new rides and attractions and great revenue centers. Brian, anything you want to add?
Brian Witherow: No, I think you hit it well, Richard.
Ben Chaiken: And do you think those levels of -- so that's very helpful, but reaching those 2019 levels of attendance, does that drive higher or lower or comparable levels of EBITDA would you expect?
Brian Witherow: Well, I think, Ben, when you look at -- I'll use the legacy Cedar, right, as maybe the proxy for answering that. Look at legacy Cedar coming out of the pandemic, where we're within a couple 100 basis points or so 200, 300 basis points of 2019 attendance levels and are pacing whether you look at it on a trailing 12-month basis, or some of the forecasts that are out there of being well above where we were in 2019 from an EBITDA basis. So certainly, higher attendance, as Richard said, does not get driven by discounting. And as we've seen over the years, higher attendance drives higher levels of guest spending and doing -- entertaining more guests while managing costs efficiently pushes again that leverage up and drops more to the bottom line.
Operator: Your next question comes from the line of Thomas Yeh with Morgan Stanley.
Thomas Yeh: Just wanted to double tap on that season pass momentum. Richard, you just mentioned the average price as pricing up 3% even with the unit growth. Can you just help us think about whether you're seeing the mix of tiers evolve as you kind of refine the product offering and what goes into the season passes? It seems like there's potentially more price taking on the higher-end prestige product. Any help on the mix shift and also just whether the all parks pass adoption has been helping at all?
Brian Witherow: It's Brian. In terms of the all pass adoption, I think we're early. I mean we're pleased with what we're seeing, but it's such a small sample size. I don't think we want to get too excited or too out of our skis on that just yet. And there's still a lot to be done in terms of harmonizing the products from a benefits perspective, getting on the same ticketing system will be a big part of allowing us to take that next step, and that's the efforts that are underway right now as we plan for next year. Already, right, going on sale in '25 with '26 passes. That's the objective. In terms of the mix, we harmonize the programs take maybe a first step in harmonizing the programs as best we can, not being on a singular ticketing system. And so we're watching how the guest purchasing patterns shifted around a little bit on that. I think what we're most pleased with, in addition to seeing the big jump in demand of units, which isn't surprising given what we've historically seen when attendance is up, season pass sales follow. And so October being what it was, it certainly was somewhat expected, but pleasantly so. But I think more so, we're really pleased with the fact that we're seeing average pricing up, right? 3%. We'll see how that plays out. Again, as you noted, that's often a function of mix. But as we start to get into the spring sales and having this momentum, it gives our business intelligence team more of a tailwind when it comes to the pricing side of things. So I think we're well positioned as we roll into calendar year 2025.
Thomas Yeh: Okay. That's helpful. And then just a clarification on the unlevered free cash flow outlook. You have these partnership puts coming up on the Six Flags side. Is your sense that, that's still a good ROI to deploy capital into to buy that out? Or -- and just given your other capital priorities, I just wanted an update on how you think about that? And should we assume that the adjusted EBITDA for your 2027 guidance is essentially the same as your modified EBITDA by then, if we're thinking about the building blocks there?
Richard Zimmerman: Yes, Thomas, it's Richard. Dallas and Atlanta, the original partnership part are a tremendous market. They're great assets in tremendous markets, tremendous franchises. We absolutely believe that there is a place in our portfolio and we'll work towards making sure that we exercise those at the appropriate time. But our -- as we look at where there's opportunity, Dallas Fast growing Atlanta over $6 million, $7 million and growing, both those markets are extremely attractive. So it's really difficult to find M&A. I think the partnership parks is built in M&A. But in terms of the specifics around modified margin, I'll throw that one over to Brian.
Brian Witherow: Yes. In terms of what we've assumed in the -- in the modeling, Thomas, is that the modified and adjusted would be the same from that perspective. .
Thomas Yeh: Okay. Great. And if I could just squeeze 1 last one in. I think part of the lever on growing attendance over time, you mentioned last quarter is both driving greater past adoption and just improving the visitation on a per guest pass basis. Now that you're kind of a little bit more into it, are there any structural reasons why the per visit count might not come closer from the legacy Six Flags perspective closer to legacy Cedar? Or asked another way, I guess, do you expect the season pass mix from an attendance perspective to run higher than the high 50s, near 60% of attendance that you've seen so far in terms of pulling both of those levers?
Richard Zimmerman: I would say, Thomas, Again, it's Richard, no structural reason why we can't both increase our penetration rate but also increase the visitation rate on season passes. I've always said, listen, we want to sell -- if we could sell everybody that comes to the one of our respective parks to season pass, we would want to do it. It's our highest price ticket. It's our most loyal customer. And we think as we program the parks from a capital perspective, there's -- we've got an ability to both reinforce what's unique about each respective park in their markets and their regions, be that thrill oriented, be that family ordering, but also you'll see us as we do -- as we've announced next year, investing in the water parks, which season pass holders consistently tell us in all markets, is a really highly valued part of the experience. They want to be able to come and visit the water parks in the summer, drives urgency in the summer, but also high perceived value, particularly from those guests that purchase the season pass. So we think there's no structural reason and we're investing behind making sure we can tap that growth potential.
Operator: Your next question comes from the line of Paul Golding with Macquarie Capital.
Paul Golding: I was just hoping to reconcile some of the comments on operating days and in light of the comfortably crowded commentary. Brian, you were noting that some of the busier season periods you're looking to add operating days. But Richard, you were also noting that you were looking to extend the stay in certain days that were busier. How should we think about the portfolio-wide view of operating days on a run rate basis going forward?
Brian Witherow: Yes. I think, Paul, when it comes to operating days, there's always going to be puts and takes, right? Our operating teams in the field are always trying to figure out ways to be more efficient and nothing is more efficient than taking some days out that might be lower value days and pushing that attendance, if you can, to other times of the year. I think we were very successful on that, this past year in the legacy Cedar properties, particularly the mid-tier parts where we made a lot of operating adjustments early in the season, a little bit in the fall, but it was probably more of a spring adjustment to the calendar, taking days out and sliding that attendance to other times of the year. And so we're going to continue to do that where it's most appropriate, but where demand is the greatest, and there's probably no time of the year that's more focus than as we said in the fall, late September, October, given most of the parks are open daily Memorial Day to Labor Day, there's not much to be done there, and there's not a lot of reason to take days out there other than maybe adjusting late August, as school calendars continue to move around. But as you look at October, I'll give you a great example. You go back 5 or 6 years ago, and Cedar Point, one of our largest parks in the portfolio was only open on the weekends for their Halloween event. We added Friday nights, not only drew a nice evening crowd, but put people in hotel rooms. Saw that demand grow and as haunt or the how weekend demand continue to grow, we added all day Friday and then Thursday nights. And we've not seen a spread out of the attendance, but actually continuing to drive that attendance growth. So we will do that where it's most appropriate. That doesn't work across the entire portfolio at every part, but there are certainly some parks in the portfolio where it's going to make a lot of sense, and we'll give a lot of thought to it.
Paul Golding: Just a quick follow-up on the mix of new attractions for the capital plan going forward. Legacy Cedar Fair has historically had a really robust festival and unique sort of holiday celebration slate. Is that -- I guess, how should we think about how that might influence the mix of capital projects for legacy Six going forward as part of that capital plan that's been outlined?
Richard Zimmerman: Paul, good question. As we think about it really is the answer, as Brian always said, different park-by-park, region by region. As we look at how we intend to sequence the investment, what demos, we're targeting, we're working through exactly how the events will work and where they will work and how they'll unfold. Clearly, Halloweens are best and our biggest example of an event. We do things like Boysenberry and other things. There's been some traction with Octoberfest in some of the Six Flags park. So we're going to evaluate how to be most effective in our messaging and most effective at driving the demand. But clearly, as we think about all 4 seasons, we just want to make sure we've got enough firepower in all 4 seasons to really put that demand underneath the season pass program and give people a reason to come out all 4 seasons, but it will be very different park by park.
Operator: Your next question comes from the line of Ian Zaffino with Oppenheimer.
Isaac Sellhausen: This is Isaac Sellhausen on for Ian. I just had one follow-up as far as ticket pricing. You mentioned in the prepared remarks you won't lead at the discounting to drive that higher attendance. So maybe if you could just give some color on daily ticket dynamic pricing strategy on the legacy Six and Fun side. For the larger parks and maybe your expectations on admissions pricing relative to historical levels for next year?
Brian Witherow: Yes. I think it's Brian. As it relates to pricing, Isaac, the -- as we said in the prepared remarks, building that demand and nothing is more helpful in doing that and getting those advanced purchase commitment channels as robust as possible. So season pass through bookings. And that's what gives our business intelligence team that manages the dynamic pricing around single-day tickets the most confidence to lean in. As Richard noted in the prepared remarks, I mean, we've spent over a decade building out the team and the tools behind dynamic pricing and believe based on what we've been able to successfully accomplish over the last several years, that approach and strategy has been very successful, and we're now expanding that, bringing all of the parks across the combined portfolio into that tool set and under that team's oversight. So as we roll into 2025, having a strong season pass base, continuing to get those group bookings and hotel reservations where appropriate or where applicable, I should say, going in the right direction, gives that team a lot of confidence in their ability to lean in. So we're going to be as aggressive as the market allows when it comes to dynamic pricing, but we're not going to be sloppy, right? As they like to say, pigs get fed and hogs get slaughtered. Our markets have been trained to expect certain levels of increases, but we're going to be responsible with the increases we take given the economic environment we find ourselves in.
Isaac Sellhausen: Okay. Understood. And then as a quick follow-up, the balance of the $175 million of CapEx that you guided to for '25 and '26, just as a follow-up to the previous question, maybe if you could just provide some additional details as far as how you see that being spread out between legacy Six and Cedar?
Richard Zimmerman: Still working through that. Isaac. So I wouldn't give you a breakdown right now because some of it still depends on what we find in the field. But we're working through that. What I would say is we're touching every park -- every park getting some infrastructure money because they should. And we're making sure that we're keeping the -- we're addressing the needs of each particular park.
Operator: Your final question comes from Lizzie Dove with Goldman Sachs.
Lizzie Dove: I just want to go back to the point on operating days. I think you said in the past that legacy Six Flags cut about 400 operating days versus 2019, you want to add back maybe half of those. Curious, a, is that still the case and b, the kind of cadence of that? Is that going to contribute to the kind of ramping of attendance growth over time and just which years might be added back?
Brian Witherow: Yes, Lizzie, it's Brian. That's correct. I mean if you look at where the operating days were trending compared to where they were pre-pandemic, the legacy Six assets they were down about 400. I don't know that we've reached a final conclusion yet on what the right number of days to add back. As I said just a little bit ago, there's always going to be puts and takes. I don't think every one of those days was a high-value day and they probably needed to be taken out of the system, similarly to what we did coming into 2024 at the legacy Cedar parks. We'll add days back responsibly. As I mentioned, we've we constantly play around with the operating calendar based on what the markets and the consumers are telling us. But no decision has been made yet as to of those 400 days how many will ultimately, over the long term, get added back. But I can tell you, we're not going to try and boil the ocean. We'll dribble some days back into the system where it's most appropriate and where the risk is the least and we'll see what the returns are on that. And if we like it, we may add more days if we don't, we may pause or we may reverse course.
Lizzie Dove: Got it. And then I guess more of a housekeeping point, but just on the kind of calendar shifts. So I think it was roughly 90 days of operating day difference you had in 3Q, which was about $20 million of EBITDA impact. I think 4Q is about half of that from an operating day deficit comparatively year-on-year. So is it right to think that what you're guiding to, factors in, let's say, half of that to $10 million or so, but I know different days are worth different amounts. So just curious what you're kind of factoring in from a calendar shift EBITDA impact in the fourth quarter?
Brian Witherow: Yes. So for fourth quarter, we're trending -- again, this will be impacted a little bit by weather over the balance of the year. but we're trending with operating days at legacy Cedar being down roughly 40 over the fourth quarter, Legacy Six being up maybe 15 to 20 days. So you've got net somewhere around 20 to 25 less days on a combined basis in the fourth quarter.
Operator: Ladies and gentlemen, I would now like to turn the call back over to Richard Zimmerman for closing comments.
Richard Zimmerman: Thanks for joining us on today's call, and thanks for your continued interest in our company. As a heads up, we will be participating in several banking conferences before the end of the year, to being hosted in Miami by Deutsche Bank and Jefferies, 1 in New York hosted by Morgan Stanley and 1 in Boston hosted by Truist. We hope to have a chance to visit with many of you in person at one of these events. Otherwise, I want to wish you and your families a safe and happy holiday season. Michael?
Michael Russell: Thanks, Richard. Please feel free to contact our Investor Relations department at (419) 627-2233. Our next earnings call will be in February after the release of our 2024 full year results. Krista that concludes our call today. Thanks, everyone.
Operator: Ladies and gentlemen, that does conclude today's conference call. Thank you for your participation, and you may now disconnect.